Operator: Good day, ladies and gentlemen. Welcome to the Nucor Corporation First Quarter 2021 Earnings Call. As a reminder, today's call is being recorded. [Operator Instructions]. Certain statements made during the conference call will be forward-looking statements that involve risks and uncertainties. The words we expect, believe, anticipate and variations of such words and similar expressions are intended to identify those forward-looking statements, which are based on management's current expectations and information that is currently available. Although Nucor believes that they are based on reasonable assumptions, there can be no assurance that future events will not affect their accuracy. More information about the risks and uncertainties relating to these forward-looking statements may be found in Nucor's latest 10-K and subsequentially filed 10-Qs, which are available on the SEC's and Nucor's website. The forward-looking statements made in this conference call can speak only as of this date, and Nucor does not assume any obligation to update them, either as a result of new information, future events or otherwise. For opening remarks and introductions, I would like to turn the call over to Mr. Leon Topalian, President and Chief Executive Officer of Nucor Corporation. Please go ahead.
Leon Topalian: Good afternoon and thank you for joining us for our first quarter earnings call. Joining me today are the members of the Nucor's executive team, including Jim Frias, our Chief Financial Officer; Dave Sumoski, our Chief Operating Officer; Al Behr, responsible for Plate and Structural Products; Craig Feldman, responsible for Raw Materials; Doug Jellison, responsible for DJJ and Logistics; Greg Murphy, responsible for Business Services and General Counsel; Ray Napolitan, responsible for Engineered Bar Products; Dan Needham, responsible for Bar and Rebar Fabrication Products; Rex Query, responsible for Sheet and Tubular Products; MaryEmily Slate, responsible for our enterprise-wide Commercial group; and Chad Utermark, responsible for Fabricated Construction Products. I want to take just a minute to congratulate Ray Napolitan on his upcoming retirement in June. Ray has been an invaluable part of the executive leadership team, and I will greatly miss his leadership, strategic vision and keen insights. I wish him and his wife, Jody, a long, healthy and happy retirement. Thank you both for your commitment and sacrifices during your 25 years with Nucor. And on behalf of our 26,000 team members, thank you. Craig Feldman will also be retiring in June. Craig has been a part of The David J. Joseph Company in Nucor for over 30 years, and I'd like to thank him for his commitment, dedication to the DJJ team and Nucor for three decades. Craig, we wish you and Sherry a very long, healthy, happy retirement. And on behalf of our entire team, thank you. As we continue to work toward our goal of becoming the safest steel company in the world, we are maintaining our focus, especially as our operations have ramped up across the company in response to strong steel demand. Knowing where to focus our efforts can bring tremendous improvement in safety performance. Looking at our safety data. Approximately 40% to 50% of our recordable injuries are hand related. To address this, we held a company-wide Hand Safety Week at the end of February. We are optimistic that our increased focus in this area will enable us to make meaningful progress toward our goal. I want to thank all of our teammates for your commitment to improve the most important value in our company, the safety, health and well-being of our entire Nucor family. This past quarter was our best quarter in Nucor's history. I'd like to thank our customers for the trust you place in us with each and every order, and I'd also like to thank our team who make extraordinary results like these possible. Net earnings per share of $3.10 far surpassed our previous quarterly record of $2.31 set back in the third quarter of 2008. Robust cash flow from operations during the quarter allowed Nucor to return $425 million to our shareholders while maintaining our strong liquidity position. Demand for our products remains quite strong, with healthy volumes and metal spreads across our diverse portfolio of products. Capacity utilization at our steel mills increased to 95% for the quarter from 87% in the fourth quarter of last year. Many of our product groups are running at or near full capacity. We have had some spare capacity in long products. We are adding shifts in many of our steel product facilities to meet robust market demand. It's gratifying to see such strong performance across all of Nucor. We are clearly reaping the rewards from our prior investments and the more strategic approaches we are taking with our key end-use markets. Most of the end-use markets we serve remain strong, and inventories remain lean across supply chains. We have greater certainty today that the current favorable demand outlook will persist through the rest of 2021. We are benefiting from our strategy of intentionally targeting our product capabilities at attractive subsegments of our various markets. Our latest project announcements continue in this vein, namely the new tube mill we are building in Kentucky and the new insulated panel facility in Utah. We also see indications that the strength in nonres construction is broadening out beyond the warehouse, data center and cold storage subsectors. The ABI Index turned positive in February after 11 consecutive months of contraction, and the Dodge Momentum Index recently registered 151.4, which I believe is the highest reading since 2018. Also, backlogs across our steel product segments are all very strong. Our fabricating partner customers are reporting strong demand and strong inquiry activity in the construction and fabrication markets. I'm particularly excited to see the business momentum being generated by our Construction Solutions team. We formed this group last year so we can develop deeper strategic relationships in the construction market and better leverage our diverse product offering. The team regularly interacts with a broad set of influencers, including owners, developers, architects and engineers. We also recently launched a trademark high-strength beam product called Aeos, a grade A913 beam. Aeos beams are produced efficiently from sustainable, recycled steel at our Nucor-Yamato Steel plant and allow for faster and lighter construction. Nucor-Yamato is the only producer of these grade A913, high-strength beams in North America. We are already realizing attractive orders from this effort and are optimistic that we will see many more opportunities as we leverage the unique capabilities of the Nucor portfolio, including Aeos. We are also pleased that President Biden has put forward an ambitious infrastructure plan. We look forward to working with the administration and Congress and are confident our country can make a meaningful investment with sustainable funding to rebuild our nation's infrastructure. Action is long overdue as the recent grade of C minus by the American Society of Civil Engineers' U.S. infrastructure report card illustrates. In the last 5 years, Nucor alone has melted, poured and shipped over 130 million tons of steel rebar, plate, structural beams, sheet and countless other steel products. We are well positioned and ready to help our nation build back better. Turning to the automotive market. We expect the industry to produce approximately 16 million vehicles this year. The shortage of semiconductors, severe weather impacts and other issues have hurt recent production volumes in the auto market. We expect the difficulties to continue into the third quarter. Even with these disruptions, our mills have been running full-out to satisfy customer requirements from the auto sector. It's also worth noting that light vehicle demand is very strong, and inventories are quite low. We expect that sector will be running hard to get caught up with the demand for at least the rest of the year. We continue to see strong demand in the renewable energy market, and we believe that the steel needs of this sector will grow rapidly in the coming years. The Biden administration has set a goal of deploying 30,000 megawatts of offshore wind power by 2030. This could require as much as 8 million tons of steel. We look forward to supplying the requirements of the renewable power sector with steel and steel products that have much lower levels of embedded CO2 emissions than those of competitors and are a natural fit for the renewable energy applications. We have the right capabilities to provide steel products to this market, and executing power purchase agreements like the ones we have concluded with Ørsted and EDF helps us to develop constructive commercial relationships in this sector while lowering our overall CO2 intensity even further. In other markets, agriculture, trucks and other heavy equipment are all showing strength. The oil and gas market is improving, with rig counts climbing gradually from the depressed levels seen last year. The appliance market is benefiting from the economic rebound in direct payments people are receiving as part of the COVID relief passed by Congress. Now I'd like to give you a brief update on the progress of several of our strategic growth projects. Following a pandemic-related delay, commissioning resumed last fall at our galvanizing line JV with JFE in Mexico. The team there is busy, trialing and qualifying product with automotive customers as well as shipping product for alternative end-use applications while this work proceeds. The commissioning of our new Gen 3 galvanizing line at Nucor Steel Arkansas is expected to occur in the third quarter, with prime production off that line to follow soon after. We are excited about the advanced capabilities this project will give the mill, and I think it is fair to say that our customers are excited as well. The expansion and modernization project at Nucor Steel Gallatin in Kentucky is on track to produce steel by the end of the year. To prepare for commissioning, the Gallatin mill will be shut down for 3 weeks sometime in the fourth quarter. We are anticipating a gradual ramp-up of the incremental capacity at Gallatin, expecting to achieve 1 million tons of incremental output from the upgraded facilities in 2022 and to achieve the full benefit of the added production capability of 1.4 million tons in 2023. We also remain on schedule with the construction of our new plate mill in Brandenburg, Kentucky. We see Brandenburg's commissioning time frame, which is scheduled for a start-up in late 2022, as ideally suited to serve the offshore wind market. Nucor Steel Brandenburg will be one of only a very few mills in the world capable of reliably supplying steel plate suited to offshore wind market applications and expectations. Now Jim Frias will provide more details about our record financial performance in the first quarter. Jim?
James Frias: Thanks, Leon. First quarter earnings of $3.10 per diluted share were at the high end of our guidance range. Nucor's record quarterly earnings were driven by strong performances across our broad portfolio of steelmaking, downstream and raw materials businesses and highlights the success of our 26,000 team members at building a stronger and more profitable Nucor. The performance of our steel products segment was perhaps the biggest surprise of the quarter as it delivered improved earnings over its very strong fourth quarter results, countering the normal seasonal trend and overcoming the impact of a temporary margin squeeze due to the quick run-up of steel prices. The just completed quarter included some initial returns from our multiyear growth investment projects. Our Hickman, Arkansas sheet mill's specialty cold-rolling mill is rapidly expanding its portfolio of high-strength, lightweight products increasingly demanded by OEM customers. The mill ran at 111% of nameplate capacity in the first quarter, with cash flow and profit contribution well ahead of the project's capital authorization budget. Our new Gallatin, Kentucky hot band galvanizing line production rate in the first quarter was 116% of its design capacity, with cash flow and profit contribution substantially exceeding our capital budget projections. Our Gallatin teammates are building a strong portfolio of automotive and other customers in the underserved Midwest heavy-gauge, galvanized hot band market. The Sedalia, Missouri rebar micro mill completed its first year of production in February, with cash flow and profit contribution also significantly ahead of the project's budgeted performance. Sedalia's spooled rebar product continues to enjoy strong commercial success. Our second rebar micro mill, located in Frostproof, Florida, began production in December and achieved profitability for the month of March. We congratulate our Frostproof team for their incredibly fast ramp, achieving this significant milestone well ahead of schedule. Our Kankakee, Illinois merchant bar rolling mill completed equipment commissioning in December, product trials in February and achieved positive cash flow for the month of March. Further upgrades to Kankakee's melt shop are proceeding and on schedule for completion later this year. With its new capabilities, Nucor Steel Kankakee is well positioned in the heart of the Midwest MBQ market to serve our customers with a state-of-the-art mill and an unrivaled product portfolio. We are delighted with the successful ramp-up of these important new additions to new Nucor's capabilities. We believe this validates both our strategies and the team's consistent focus on execution. We are confident in these projects' prospects to continue generating attractive returns with reduced volatility throughout the economic cycle. We again generated strong operating cash flow during the first quarter, enabling us to fund our CapEx and to post free cash flow of about $217 million for the period. Financial strength continues to be a critical underpinning to our company's ability to grow long-term earnings power. At the close of the first quarter, our cash, short-term investments and restricted cash holdings totaled just under $3 billion. Total long-term debt was approximately $5.3 billion. Gross debt as a percent of total capital was 31%, while net debt represented only 13% of total capital. We generally seek to keep net debt to total capital within a range of 18% to 23%. We feel this is consistent with the strong investment-grade credit rating that Nucor has strategically maintained through economic cycles over the years. At present, of course, we are somewhat underleveraged. This reflects our conservative approach in early 2020 when the economic outlook was more uncertain. We will continue to manage to this target capitalization and will adjust going forward by returning excess capital to our shareholders just as we have in the past. We took some steps in that direction during the first quarter. Cash returned to shareholders was 45% of net income or $425 million, including the repurchase of 5.4 million shares at an average price slightly above $56 per share. And with the payment of our February quarterly dividend, Nucor has increased its base dividend for 48 consecutive years or every year since we first began paying dividends in 1973. Our highest capital allocation priority remains investing in our businesses to ensure our continued growth and long-term profitability. We continue to estimate total capital spending for 2021 of approximately $2 billion. Approximately 80% of the 2021 capital spending is for improved product capabilities and cost savings projects. About half of the anticipated total 2021 capital spending is for our 3 remaining major projects: the expansion and modernization of the Gallatin, Kentucky sheet mill; the Generation 3 flexible galvanizing line at the Hickman, Arkansas sheet mill; and the greenfield Brandenburg, Kentucky plate mill. Turning to the outlook for the second quarter of 2021. As Leon mentioned, we are optimistic. We see improving or stable market conditions for the vast majority of the end-use markets served by Nucor. At the same time, inventories throughout the supply chain remain lean. Earnings in the second quarter of 2021 are expected to again set a new record for the company. The primary driver for this increase is further margin expansion at our sheet and plate mills. Our first quarter record performance reinforces our confidence in the value being created by our strategic initiatives. The opportunities ahead for the Nucor team are exciting. We have great determination to deliver increasing long-term value for our shareholders. Thank you for your interest in our company. Operator, we are ready to begin Q&A.
Operator: [Operator Instructions]. We'll take our first question from Carlos De Alba with Morgan Stanley.
Carlos De Alba: Congrats on the strong results. Maybe you could -- I don't know if this is Leon or Jim, can you please comment on how do you see the ramp-up of the plate mill? I know that is still a little bit away, but it is quite important for the company. So with the strong demand that we may have -- we may see from offshore wind turbines, how do you see the ramp-up of this mill and the volume contribution in the coming quarter -- in the coming years from 2023 and onwards?
Leon Topalian: Okay. Carlos, yes, thank you for the question, and we appreciate the congrats. We're really proud of our team's execution to continue to take care of our customer base, and we're incredibly excited about our facility in Kentucky. The Brandenburg plate mill, we believe, ideally positions Nucor to be the strong market leader in plate in the largest plate-consuming region in the United States. The team has done a phenomenal job there, but I'm going to turn the rest of the question over to Al Behr, our EVP of Plate Products, and give you a little more detail and background on the start-up and how that team has maintained its ramp-up in spite of the challenges of 2020 and into '21. Al?
Allen Behr: Yes. Thanks for the question, Carlos. Appreciate the opportunity to talk about that project. It's on budget. It's on track for a start-up in late 2022. So everything is going just exactly as we would plan. You mentioned the offshore wind market. That's obviously something we're watching very carefully and very excited about. As Leon mentioned, the positioning of Brandenburg within that market is truly ideal. There's many things about the capability of that mill that generate competitive advantage for us. One of them is the width. With the capability up to 14 feet, that's an advantage within the offshore market as well as many others. The exceptional quality capabilities out of that mill create advantage for that market as well as the grade and chemistry range. It's got an outstanding grade range, and it's really squarely aimed at the offshore wind market. So we are watching that very, very carefully. The timing of the mill coming up at the end of '22, based on the information we have about planned projects, announced projects, permitted projects, all offshore wind, is really just ideal. So very, very exciting project for us. We're excited to get it running. Appreciate your question about it and the chance to talk about it.
Carlos De Alba: And could you comment maybe what is the production that you expect to see out of that mill in 2023?
Leon Topalian: Carlos, what I would tell you is the ramp-up is -- we expect to come on very quickly. As that team navigates the challenges of commissioning, we expect '23 to be a pretty strong year. I don't want to quote numbers, but I certainly think we'll be approaching 75% to 80% of nameplate easily by the end of '23.
Carlos De Alba: Perfect. Maybe I missed it, but what is the outlook for CapEx in the coming years, particularly in 2020 -- second half of this year and 2022?
James Frias: We're going to spend about $2 billion this year. That's what our interim projections say. Roughly $1 billion is going to be spent over the next 3 quarters on our 3 big projects that are coming near completion, different phases of completion: the Gen 3 galvanizing line at Hickman; the Gallatin expansion; and, of course, the Brandenburg plate mill. We've not made any comments about 2022, but with Gallatin essentially complete and the cold mill at Hickman complete, unless we come up with some new projects, it's probably going to be lower than the $2 billion that we're going to spend this year. But we've not actually put together a budget yet for the 2022 expansion. But we're a strong free cash flow company. And so we're going to have plenty of liquidity to invest in at least that much if we wanted to.
Operator: We'll take our next question from Emily Chieng with Goldman Sachs.
Emily Chieng: My first one is just on what you're seeing in end market demand from the construction segment in particular -- and in particular, the nonres segment. It sounds like your order books are still very full. Are you taking share from others? Is that a partial restocking of the supply chain? Or is it really true demand strength that we're seeing there? And if there's any particular segment outside of the warehousing component that you think could maybe been a surprise to the upside here, that would be helpful.
Leon Topalian: Yes. I'll kick us off, Emily. Thank you for the question. And maybe ask Chad Utermark, our EVP of our Fabricated Construction Products, Vulcraft/Verco and our building systems, to answer as well. And so what I would tell you is approximately 46% of Nucor's products move into the construction sector. As I mentioned in my opening comments, we're really excited about our launch of the Construction Solutions team. And what that team is doing is really positioning Nucor differently to better utilize the breadth and the capabilities of Nucor. We are not about getting bigger in capacity. We are about enhanced capabilities to serve our customers. And by launching the Construction Solutions arm and the branding of products like Aeos, it truly differentiates us in the marketplace. And so that value capture now in helping architects, engineers, fabricators, designers to recognize how to fully utilize the complement of Nucor's offerings is really a unique strategic advantage. As you think about the backlog, the strength of the nonres construction market, all of those indicators that we track are very, very strong. But again, as we think about how we leverage the breadth of that market, it's something that we spend a great deal of time on. And again, I'm very proud of the Construction Solutions team, what MaryEmily and her team have done in that market. But Chad, maybe just provide a little more color and backdrop into the segments that you're responsible for.
Chad Utermark: Yes. Thanks, Leon, and thanks, Emily, for the question. As you know, we have many downstream businesses, and they touch many aspects of the nonres construction market. As we've been mentioning for several quarters, we are really excited about the resiliency of the nonres construction market. As we look out forward, we believe nonres construction will remain solid through 2021 and into 2022. Our quoting activity has been and continues to be very robust. Furthermore, most of our businesses have very strong backlogs. And in some of our downstream businesses, we have all-time record backlogs. As we move through Q2 and into the second half of the year, we do expect to see significant earnings from these businesses. You asked about specific markets. And obviously, warehouses, distribution centers, data centers are driving this demand. But it's really across almost all sectors we're seeing solid demand. ABI just came out and talked about residential, commercial, industrial institution. So the nonres industry is firing on most all cylinders.
Emily Chieng: Great. That's helpful color. And if I can follow up with one question. Across the steel industry globally, clearly, decarbonization is a big theme to look forward to. We also saw one of your peers come out yesterday with a net-zero target for the longer term. I guess clearly, Nucor being an EAF operator and recycler has a big advantage here. But aside from the PPAs that you're signing, is there anything that we should be focused on from an ESG perspective that you'd highlight to come?
Leon Topalian: Yes. Absolutely, Emily. And as we've discussed in the past, Nucor is the largest recycler. We're committed to sustainability. We believe today, we're one of the most sustainable steelmakers on the planet. So the things like the PPA agreements that we've signed are just part of the steps that we're going to continue to take to make sure we're on the very leading edge of the cleanest, most sustainable steelmaking -- steelmakers in the world. And so in the coming months, you're going to see Nucor launch a very open and public conversation about releasing our Scope 1 and 2 emissions as well as setting very clear targets for our improvements and the expectations we expect to see in the coming years. So again, stay tuned. That's going to come out again in the next few months where we're going to highlight and make some very strong commitments to what we think is already best-in-class to become even better.
Operator: We'll take our next question from Seth Rosenfeld with Exane.
Seth Rosenfeld: I've got two separate questions. First, on raw materials and then secondly, on working capital, please. The raw material segment obviously had really remarkable performance this past quarter. Can you walk us through the drivers of that, either with regards to scrap recycling or the DRI business? And with increasing expectations for potentially kind of a tighter-for-longer prime scrap market, can you give us some update on how your DRI volumes are progressing? And any upside to that looking forward? I'll come back on working capital, please.
Leon Topalian: Okay. Yes. Well, actually, I'll turn this over to Doug Jellison and let him begin and maybe chime in at the end. Doug?
Douglas Jellison: Okay. Seth, thanks for the question. The team through the quarter did a great job of safely approaching what was a pretty challenging quarter. As you saw the increase in demand, short-term weather challenges, transportation challenges. But we've spent a great deal of time preparing for these things, and the proof was in the execution in this quarter. Our recycling yards had a record volume quarter. Our DRIs had solid production. From a financial standpoint, there is a lag as the markets go up, and our raw materials are based at the lower cost as we come in. So the first quarter will be our best performance, but we expect to see strong performance throughout the rest of the quarter. In terms of DRI, we -- they have been performing well. We'll expect them to continue to perform well. We do have some scheduled outages in May and December so volumes will be off a little bit, but those are planned and anticipated adjustments.
James Frias: You had a question about working capital?
Seth Rosenfeld: Yes, please. Obviously, very significant investment in working capital in Q1. That would be a record for your business. Can you walk us through what we might expect looking through Q2 and into the back half of the year? Do you think there's a need for further cyclical investment in working capital? Have you been able to reset the value of inventories, for example, after that big Q1 move?
James Frias: Yes. So receivables were up a fairly large percentage, and it was driven by a combination of volume, which was up 13.5%, and prices, up like 21%. And so we would think next quarter, volumes will be close to the same. And so we're going to just have a price driver. We will see some increased pricing. So how much receivables go up will depend on how much pricing goes up. We generally collect receivables in about 30 days. So what's outstanding on our balance sheet is roughly 30 days of sales to our outside customers. Relative to inventory, our inventories went up in the neighborhood of 6%. Of course, the cost per ton went up a significant amount because of scrap and pig iron and DRI prices were -- being up as well. And so inventories are, again, likely not to go up in volume next quarter. I think they're going to be relatively flat. And so we shouldn't see quite the same increase in inventories that we saw in the first quarter, should be much smaller. And receivables will be less too, but maybe closer to the same just because we're going to have another big increase in pricing in Q2 compared to Q1.
Operator: We'll take our next question from Timna Tanners with Bank of America.
Timna Tanners: I wanted to probe a little bit more. The first quarter, as expected, sheet volumes up, makes sense. But some of the long products, although they were better than your second to fourth quarter, run rate were still below year ago levels. So just wanted a little color on that and if we should expect that to go up going forward based on the comment just now on kind of flatter volumes. So kind of wanted to get a little color on that. And then if I could, on top of that, can you comment on why utilization has seemed to barely budge in the industry, given the volume improvements and restarts that we hear about and customers clamoring for supply? I'd really like to hear your take on that.
Leon Topalian: Yes. Maybe I'll try to start with the last. And I certainly can't speak to our overall competitor utilization rates. But again, moving from roughly 85%, 86% last quarter and the fourth quarter of 2020 to over 95% for this quarter for us was a significant move. And we saw much of that come in plate and -- or plate and sheet. But also our structural mills, rebar mills are -- moved significantly up in their utilization rates. We're seeing incredibly strong backlogs at Nucor-Yamato Steel and Berkeley beams and so the backlog side of the structural market. And I'm not sure I fully understood the question you were driving at structurally, but that demand and the backlogs there are not historic, but they're very, very strong, probably the strongest since the last decade anyway. So as we see that moving forward, that sector, those markets that they serve, we think, will not only be robust but continue well into the year. Al, anything you'd add on the structural side?
Allen Behr: Yes. Just a couple of things. Timna, you picked up on it, right, We were slowing up a little bit in the first quarter. There's a couple of things in the beam group. One was the winter storm that came through and impacted Texas and Arkansas. That impacted our Arkansas beam mill to some extent. And the other thing was a project from fourth quarter that we highlighted, a significant modernization upgrade of that mill. That was tremendously successful, but it's got such a broad product range that it stretched into January before we had fully shaken out the entire product cycle. So that mill today is running as efficiently as it ever has. That's been a very successful upgrade. So to your point about Q2, no, we expect Q2 run rates to be excellent. Leon made the point about backlogs. They've improved significantly, even just in the last couple of weeks and are at an all-time record. But the year-over-year number ticked down just a little bit, as you pointed out, and those are the reasons why.
Timna Tanners: Okay. That's super helpful. I wanted to ask another question, if I could, switching gears a bit on the green steel topic. So obviously, as you said, Nucor has always been green, and that's part of your whole history. But I just wanted to get a little bit of sense on the customers that's -- how many of your customers can you quantify that are actually clamoring for green steel? Is there a way to quantify that? And then on the renewable side, I know you mentioned 8 million for wind, and I hear wind is indeed -- that New Jersey is going to be the Saudi Arabia of wind, I guess. So there's a lot of opportunity potentially there. But is that 8 million tons over time? Is that over a couple of producers? Can you help us get a sense of that and solar and that opportunity?
Leon Topalian: Yes. I think there's 2 shifts. And MaryEmily, if there's stuff I miss on the solar side, please jump in. But as we think about the wind, there are right now 2 very meaningful, large-scale offshore wind projects that are approved up, and we'll begin starting production of those in '22, '23. So as that ramps up, really, we see the time frame of '22 to '26, '27, '28 is kind of that build-out. So yes, that 8 million tons will be over a period of several years, 3, 4, 5 years. We don't know exactly. What I do -- what we do believe is with the President signing an executive order commissioning 30,000 megawatts of offshore power, that's going to drive an awful lot more activity behind just these 2 projects. So we expect that to ramp up, and that number could increase as we move forward. Again, with the start-up of Brandenburg in late '22, it really is positioned incredibly well to capitalize and take full advantage of that opportunity in the marketplace. On the solar side, a little bit like we mentioned in the Construction Solutions team. And actually, I won't steal MaryEmily's thunder. Why don't you just kind of share with Timna what we're doing in that and how the solar go-to-market strategy is being run?
MaryEmily Slate: Absolutely. Thanks for the question, Timna. Solar is absolutely a target market just like construction, and we see that as a growth market. We'll see growth over the next few years, especially with the administration change. And if you saw the announcement on [Technical Difficulty] a significant amount of the production off that mill will actually target the solar industry for torque tubes. And it's wonderfully positioned with the Gallatin galvanizing line there. Feeding that mill will make it such an efficient supply chain. So our expectation -- just like Construction Solutions, we've got a group that's working with those companies as they grow to provide solutions to make them get to market better and faster.
Leon Topalian: And Timna, maybe the last comment I'd make is I appreciate that we have been green. I've been part of our company now for 25 years. I can remember when I started with Nucor at Berkeley, when we're building it, making decisions to put equipment in, that wasn't regulated, that wasn't required by state or federal law. We did it because it was the right thing to do. But one of the things we've not done as good a job on is actually telling that story much more proactively, much more offensively minded and sharing our data much more openly. You're going to see a significant step for Nucor to do that. And again, in the coming months this year, to be very transparent, again, not just verbally, but through the commitment of sharing our full Scope 1 and 2 emissions and how that impacts because we believe we can stand up to anyone in the world and also helping the industry to say, hey, we've got to do better, and we think we can.
Operator: We'll take our next question from Andreas Bokkenheuser with UBS.
Andreas Bokkenheuser: Just wanted to quickly follow up on Seth's question about your scrap market, especially on prime. I mean I'm obviously sure you've seen kind of all the commentary out there, some people believing that there's going to be a super tight prime market and EAF producers are going to be high cost from here on in and so on and so forth. I'm assuming I kind of know the answer to the question, but where do you come out on all of this in terms of a tight prime market and potentially some supply relief? And related to that question as well, more from a technical point of view, do you have any ability to -- let's assume for a moment it does become a very tight prime market. Do you have the ability to load other feedstock into the furnaces like DRI or pig or anything like that, that kind of offset any tightness in prime prices going forward?
James Frias: Yes. Let me start in answering that, Andreas. The second part of your question about product mix, yes, we have flexibility. We use most of the prime scrap and substitutes, which include pig iron, DRI, HBI. We use most of those products at the sheet mills. We can use some at the plate mills as well and some of the other mills, but it's primarily consumed at the sheet mills, and we're already using those products. And we think we've got the most flexible supply chain, probably because a lot of our larger mills are on deepwater ports where they can be a barge or other vessels, receive shipments not only from domestic suppliers, but from offshore suppliers very efficiently, again, because of our positioning of our locations being on the waters oftentimes. But yes, we mix -- we change the mix of feedstocks based on what's available and what the costs are on a fairly regular basis. And so that's a part of our strategic business plan. In terms of tightness in prime scrap markets long term, we saw this coming several years ago, and that's why we started building DRI plants. So we've got 2 DRI plants that help give us an option in our supply chain. And when it makes sense to use more HBI, we max out the usage of what we can use in HBI. The follow-on question we often get is should we build more -- I'm sorry, I said HBI, I meant DRI. A follow-up question we get is should we build more DRI plants. And our view right now is not today. If we have so much DRI that we keep prime scrap prices depressed, we're helping our competitors with our capital investment. If the price for prime scrap is tight and we get an advantage that we can capture with profits at the DRI plant, then we have a competitive advantage against other mini mills that make sheet steel. And I would say that look at our profits, let's see what profits get published by integrated mills. And then ask me if you really think that we have a cost disadvantage against integrateds.
Andreas Bokkenheuser: Right. Right. Sorry, go ahead.
Leon Topalian: No, no, no, please. I was just going to really reiterate the exact point Jim did. Let our results speak for themselves, and you can decide where the cost structure is in terms of our delivery and our performance.
Andreas Bokkenheuser: That makes a lot of sense. I appreciate the answer. And maybe one follow-up question on the technical side. I mean is there any way of saying how low you can go on prime consumption? I realize every furnace is different and so on and so forth. But I mean, can you go to 0%? Can you go 20%? Is there any way to kind of think about that going forward? Could you exclude prime altogether if you wanted to?
David Sumoski: Yes. This is Dave Sumoski. Certainly, the product mix is going to be very dependent. On the bar side, we can go with zero prime. We do go with zero prime in almost all cases. On the sheet side, yes, we can vary that depending -- but you're probably going to still need to be in that 30% range, but we can move that around. 
James Frias: Yes. We can use substitutes to -- in the neighborhood of 50%, which with 30% prime -- 80% of prime against 20% of obsolete.
Andreas Bokkenheuser: That's very clear. I appreciate that. And then final question, just shifting gear as well. Obviously, steel prices continue to go up. Any updated kind of thoughts on capital allocation in terms of dividends, share buybacks, so on and so forth versus your commentary during the fourth quarter?
James Frias: Yes. I think we -- if you listened to my comments, I talked about for the first time, we've actually published our targeted net debt to capital range as being 18% to 22%. We've not published that in the past. That was a new disclosure that hopefully folks picked up on. And our net debt capital number is like 13% right now so we're technically underleveraged. And so I would expect us to continue buying back stock as the year progresses. We're going to be very, very profitable for the balance of the year. And we're going to have plenty of free cash flow, and we don't want to get further underleveraged.
Operator: We'll take our next question from Phil Gibbs with KeyBanc Capital Markets.
Philip Gibbs: Question just here on the intercompany eliminations. They were obviously sizable. And I know that tends to move around. And with the inflation that we saw intra-quarter, that clearly was something that produced an outsized number. Jim, where do you expect that to shuffle as the year goes on? Did we see peak intercompany eliminations in Q1?
James Frias: We did. Just hang on, let me find my cheat sheet so I can give you a more detailed color because I do have a cheat sheet on that. Bear with me. Okay, so total intercompany elims -- corporate elims were $451 million. The pieces were intercompany profits was $183 million. So that was $175 million more than it was in last year's first quarter. It was $125 million more than it was in the fourth quarter of last year. So that was a big number, and it's going to be lower in the second quarter by a fair amount. We're not targeting a specific number, but that's going to come down. Profit sharing, which is 10% of pretax profits, was significant. It was $123 million. We're going to make more money next quarter, so that's going to go up. So based on your projection, you should put more money in that pool. Other incentive comp that isn't profit sharing related, that's -- other incentive comp was up $50 million to $60 million. And that's probably going to be in a similar range other than in the second quarter, we grant stock compensation RSUs. And generally, there's a $20 million to $30 million hit because of the timing of that. That just happened in the second quarter so that will be extra. Other corporate expenses were up about $40 million. I would expect that's going to be flat with next quarter. And interest expense was -- I'm sorry, it was $41 million, I expect it to be the same next quarter. And interest expense was $37 million. I expect that to be about the same next quarter.
Philip Gibbs: Okay. And then as it relates to nonresidential construction, some of those leading indicators that you guys said are pointing to some growth. In 9 to 12 months, you have the lagging indicators. Well, actually, there are some that are leading as well. The starts data got hit hard last year. There are clearly parts of the nonres market that are better, to your point, deck and joist was up a lot, but rebar fab was down a lot. So I mean, help us just kind of put this together, a lot of mixed signals out there right now.
Chad Utermark: Yes. Phil, this is Chad again. And you are correct. We have a portfolio of downstream businesses that serve different markets and some are hotter, demand is stronger. But in general, across the businesses of joist and deck and building systems, I look at our backlog and I listened to our customers, and we are sitting on record -- high-level record backlogs through the rest of this year and already starting to look at next year. And so we're excited about the future in that segment of the business. And I think as the company starts to reopen -- you're already seeing people going out to eat more and wanting to go to concerts and things as more people get vaccinated. So I think that commercial world that was so strong for so long will come back. I don't know if it will come back to the levels we were seeing. But an infrastructure bill, there's a lot of rhetoric around it. I don't know that it will happen, but we expect it to. And I would hope that, that would add fuel to the strength of this nonres market. So if someone else can jump in.
Leon Topalian: Yes. Phil, the only other thing I'd add is I think that your comment is accurate, but it's also relative. As you look at the restructuring Nucor has done over the last couple of years with our fabricated construction projects groups, while we don't break out the individual profitability of certain segments, I would just tell you that their profitability and what they've contributed to Nucor is as strong as it's been maybe ever. So they're realizing some very strong returns in their businesses. And again, we expect that to continue.
James Frias: Chad, a little bit more on rebar fab. We had a fabulous profit quarter in rebar fab. The volumes may have been down, but that, I think, was more timing related. And could you speak to that a little bit, the strength in the rebar fab market as well or -- I'm sorry, Dan Needham, I pointed the wrong person, I forgot.
Daniel Needham: I can certainly do that, Phil. This is Dan Needham. I appreciate the question that you gave. But actually, right now, we're sitting on record backlogs for our rebar fabrication. So the outlook in terms of demand and projects coming about is looking very good for us at this point.
Philip Gibbs: Okay. I appreciate that. And then I have -- about -- if I remember, 10 years ago, maybe even longer, it could have been closer to 15 years ago, there was a big increase in usage of steel 2x4s and things of that nature when lumber prices got high during the housing boom. Are you guys seeing any pushback to steel in terms of some of this wood? Would you spec into some steel as lumber just goes astronomically higher? And I know wood had obviously taken some share in some applications over the last 5 or 6 years. But curious in terms of some of those conversations with lumber being unamenable in a lot of cases in the short run.
David Sumoski: Phil, this is Dave Sumoski again. I'll start that one off. All commodities are going up in price. So the cost to build buildings with both wood and steel would be rising. So -- and it's going to take some time to switch back. So we haven't seen any switchback yet, but we talk about it a lot and try to understand that there's some opportunities either way.
Chad Utermark: Phil, one last comment I just want to make. In the ABI, you see the numbers, and obviously, I think Leon mentioned those in the script that 55.6, one of the highest indexes we've seen since '07. But there's another marker that they published, and it's the pace of inquiries. And that number is almost 67, and that is the highest number they've seen since 1999. So just the amount of inquiries coming in is a pretty strong signal to us that there is this pent-up demand to build things and to expand across many different platforms. And yes, there are certain markets that may be a little weaker or a little stronger. But overall, the view I see is it's pretty strong.
Philip Gibbs: Chad, would that pace of inquiries also include the potential for people just asking for rebids and requotes and obviously coming up lame with the fact that the market keeps running on them?
Chad Utermark: I think it could. It could. But again, with our direct conversations with customers, and we see cancellations on our backlogs, and we're just not seeing them at this point.
James Frias: This is architectural index. Architects don't work for free and give quotes. Steel companies give quotes all the time that don't turn into orders. But architects don't work for free. So if they're getting inquiries, I think it's not just people getting quotes.
Operator: We'll take our final question in the queue from David Gagliano with BMO Capital Markets.
David Gagliano: All right. I wanted to switch gears a little bit on the longer-term capital allocation thoughts. Obviously, low-hanging fruit from a restart perspective is kind of done now. The pipeline on the greenfield side is fairly well defined and getting to being -- to the point where it's behind the industry in a certain respect. Obviously, Nucor over the last few years shifted to a much more aggressive growth profile, including steelmaking capacity. So my question really is, considering the landscape, everything you see out there, should we be thinking that Nucor will continue to add steelmaking capacity, meaningful steelmaking capacity like we've seen with Gallatin and Brandenburg? And if so, when should we start hearing about that?
Leon Topalian: Yes. David, thank you for the question. I'll kick it off. And Jim, if there's anything you want to add. Number one, we're coming off a capital campaign over the last several years of over $4 billion. Our #1 focus today is to safely and reliably bring that capacity online, which culminates with the start-up of Nucor Brandenburg in late 2022. So our very short-term focus is to execute really well and return significant amounts of capital back to our shareholders. At the same time, David, we're a growth company. We're not satisfied with the position where we're at today. So I and our team are challenged to think about where do we grow. I can tell you that we're looking hard to continue to invest in our downstream operations to position us well for the future. As I mentioned earlier, our investment strategy isn't to get bigger by volume. It's to add strategic capability and how we differentiate ourselves from our competition by doing so. Our investment in Hickman, Arkansas, to be the only EAF producer anywhere to make a full Gen 3 product for the automotive industry, is going to be a differentiator for Nucor. So we're going to continue to look hard on how we continue to grow for the long term. The investment in Brandenburg isn't a 1- or 2-year play. It's a 30- or 40- or 50-year play. And so as we think about the opportunities before us, again, it begins with executing really well in culminating and finishing the $4 billion sort of campaign we've been on. And then how do we think about growth and where does that need to include. And I won't give much more detail other than to tell you we're looking really hard and continuing how to position Nucor for the future.
James Frias: The only thing I'd add, Leon, is it's going to dovetail with what MaryEmily talked about, the idea that we have commercial strategies like serving renewables, like serving certain sectors in the marketplace. And so it's going to be driven partly by where we see those opportunities to better serve customers and leveraging to those markets with a portfolio that gives them a more complete solution than they can get any place else.
David Gagliano: Okay. That's helpful. In terms of -- just from a timing perspective, these are decent lead time projects, I'm assuming. So when would you -- or when should we expect to hear more from Nucor? If there are some big greenfield projects in the works, when should we expect to hear more from Nucor?
Leon Topalian: Yes. Look, I don't want to get very specific, David. What I would tell you is when we're ready to announce those, you'll be the first to hear. And so as we -- we've got to think through that strategy. All of our executives are challenged and committed to delivering growth in each of their respective areas. And so I'm excited about our future. I'm excited about the discipline we maintained in executing our capital strategy, and that's going to continue as we move forward. So we'll be very deliberate, but we're not going to stay where we're at. We're not going to stand still. We will continue to grow.
Operator: Ladies and gentlemen, this concludes today's question-and-answer session. At this time, I'd like to turn the conference back to Leon Topalian for any additional or closing remarks.
Leon Topalian: Thank you. Before we sign off, let me just say that Nucor has been preparing for years to thrive in economic conditions like the one we're experiencing now. I want to again thank my Nucor team for all you do and the focus on keeping all of our facilities running safely and smoothly so that we can all benefit from the market opportunities available to us today. And thank you to our customers for the opportunity to serve you and your needs both today and tomorrow. Through the challenges presented by the pandemic last year, we learned how resilient our company and business model are. We said repeatedly that we wouldn't just come out of this crisis. We would survive this crisis. We would thrive coming out, and here we are. I want to thank everyone for your interest in our company. We truly appreciate the support from our shareholders, customers, suppliers, communities and team. Thank you, and have a great day.
Operator: Ladies and gentlemen, this concludes today's conference. We appreciate your participation. You may now disconnect.